Operator: Thank you for standing by. This is the conference operator. Welcome to the Paycor HCM First Quarter 2022 Earnings Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator instructions] I would now like to turn the conference over to Brian Denyeau with ICR. Please go ahead, sir.
Brian Denyeau: Good afternoon, and welcome to the earnings conference call for Paycor HCM for the first quarter of fiscal year 2022, which ended on September 30. On the call with me today are Raul Villar, Paycor's Chief Executive Officer; and Adam Ante, Paycor's Chief Financial Officer. Our financial results can be found in our press release issued today, which is available on the Investor Relations section of our website. Today's call is being recorded, and a replay will be available on our website following the conclusion of the call. Statements made on this call include forward-looking statements related to our financial results, products, customer demand, operations, the impact of COVID-19 on our business, and other matters. These statements are subject to risks, uncertainties, and assumptions and are based on management's current expectations as of today and may not be updated in the future. Therefore, these statements should not be relied upon as representing our views as of any subsequent date. We also refer to certain non-GAAP financial measures and key business metrics to provide additional information to investors. Definition of non-GAAP measures and key business metrics and the reconciliation of non-GAAP to GAAP measures is provided in our press release on our website. With that, let me turn the call over to Raul.
Raul Villar: Thank you, Brian, and thanks to all of you for joining us to discuss Paycor's fiscal first quarter results. We are off to a great start in fiscal '22 with both revenue and profitability exceeding our guidance for the quarter. Our success in Q1 is further evidence that our strategy is proving effective, and that we're establishing Paycor as a leading SaaS-based provider of human capital management solutions for small and medium businesses. We believe this is a multibillion-dollar market that is still in the early stages of shifting to the cloud, which positions Paycor to accelerate revenue growth and increase profitability over time. Paycor is built to empower the leaders of small and medium businesses to build winning teams by attracting, developing, engaging, and retaining employees. As we have all seen from recent headlines, the war for talent is a pressing challenge for small and medium businesses. We believe our success demonstrates that our focus on leaders and their teams is resonating in the market. We delivered strong results for the first quarter of fiscal year '22 with total revenue of $92.7 million, up 17% year over year, and adjusted operating income of $3.4 million. We also exceeded our internal expectations for bookings in Q1. This is continued validation of our differentiated value proposition, solid execution against our growth levers, and that the efforts that Chuck Mueller, our chief revenue officer, undertook in fiscal '21 to level up and expand our sales organization are yielding results. With these strong results, we are once again raising our guidance, which Adam will discuss in more detail shortly. We had broad-based success in the quarter with significant progress made across each of our key growth initiatives. First, our increased focus on Tier 1 market is paying off. We continue to significantly grow our bookings in Tier 1 markets. One of our biggest strategic focus areas is aggressively expanding our sales organization. We had a strong hiring performance in Q1, exceeding our internal targets, and we are specifically pleased with our staffing results in Tier 1 markets. As we have discussed previously, hiring in these dense markets like Los Angeles, San Francisco, and New York provides Paycor a great opportunity to expand its sales coverage and accelerate bookings. Second, we continue to experience strong performance from the broker channel. Bookings to the broker channel exceeded expectations for the quarter and continue to deliver outsized results. We now have five national partnerships that are contributing to our success in this channel. Our decision to proactively engage the broker community and empower them to choose the right benefits administration solution for their customers while leveraging our platform for the insights, tools, and competitive advantage that increases client satisfaction and retention, is working. Third, our vertical focus is resonating in the market. We have developed purpose-built offerings that focus specifically on three key verticals that represent a significant portion of the SMB market: healthcare, manufacturing, and food and beverage. By understanding the specific needs of companies in these markets, we have built tailored solutions to help solve the most pressing human capital issues facing customers. These are small and medium businesses with limited technical capacity. The fact that our products are built for their needs out of the box is compelling and a key driver of wins. We had a strong quarter in all three of our target markets. Lastly, we continue to expand our product offering and drive greater adoption of our bundles. A core part of our growth strategy is to expand our HCM platform by adding new solutions and increase the total per employee per month, or PEPM, available. During the first quarter, we increased our full product suite to $39 PEPM per month from $35 PEPM per month. We have aggressively expanded our product portfolio over the past couple of years, and we are seeing very positive results. In particular, we are seeing great adoption of our talent management bundle, which provides leaders with the tools they need to identify, attract, hire and onboard the best people for their teams and then develop, coach, train, recognize and engage them. Talent is top of mind for every SMB today. And as a result, is driving a significant increase in attach rates for both new and existing customers. We announced several new product features in Q1 that highlight our ability to quickly introduce new capabilities that add value for our customers. First, we bolstered our COVID-related offerings to help our customers navigate impending compliance changes and to promote workplace safety with the launch of our immunization tracker and facial recognition time clocks. The immunization tracker allows business leaders to manage and track immunization and testing status of their employees. Workers can upload proof of vaccination or a negative COVID test directly to the system, and HR leaders can run a report to see immunization status across the organization. This new feature will assist businesses with employment policies and position Paycor as the first ATM cloud provider to offer an immunization tracker that is fully integrated into their platform. In addition, our time product now offers a facial recognition time clock, promoting a touchless employee experience. We also launched On-Demand Pay, an earned wage access solution that provides HR leaders with more flexible pay options for their employees. On-Demand Pay allows employees to access earned wages before their payday directly from our mobile app where they can also view their current wages and compensation history. On-Demand Pay is an exciting evolution in pay that enables employees to control their own financial health and provides leaders with another benefit to attract and retain talent, a benefit that resonates well in our core verticals. We are also extremely proud to be recently named a Top Workplace 2021 for diversity, equity, and inclusion practices This coveted list of companies with a welcoming and inclusive culture across all levels of the organization. Our commitment to DE&I is also reflected in the success of our associate-focused programs, such as our employee resource groups and development opportunities through the Black Leadership Academy, which we conduct in partnership with McKinsey. To reinforce this commitment, I signed the CEO action pledge for diversity inclusion, the largest CEO-driven business commitment to advance diversity and inclusion in the workplace. Before I turn it over to Adam, I just want to reiterate how excited I am by our performance. We are executing our detailed growth plan and setting the stage for Paycor's future. We believe we have all the elements in place to be a winner in the ATM market. With that, let me turn the call over to Adam to talk about our financial results in more detail. Adam?
Adam Ante: Great. Thanks, Raul. I'll begin with a review of our first quarter results and then finish with our outlook for the second quarter and the full fiscal year 2022. As a reminder, my comments related to financial measures are on a non-GAAP basis. Total revenue was $92.7 million, a 17% increase year over year. Recurring revenue grew 1 point faster at 18% year over year as our new business continues to layer into the portfolio. We ended the quarter with 28,700 clients, growing about 3% year over year. However, this growth comes as our micro segment of under 10 employees is effectively flat. Our go-to-market strategy targets companies with 10 to 1,000 employees, and we are seeing all of our customer count growth come from this segment, growing 6% year over year. This segment represents just over 80% of our total revenue and just over 60% of the number of our customers. The balance of our revenue growth was split between continued PEPM expansion and a continued mix shift toward the mid-market segment of our portfolio, as well as marginal organic employee growth of our customers. Net retention in the first quarter remained steady over the prior quarter as we start to approach pre-pandemic levels. While still below our historical rate in the mid-'90s, we are seeing it improve with recovering employment levels and expect it to continue improving as we move through the year and lap the quarters most affected by COVID. Adjusted gross profit margin was 65.2%, which was down from 70.5% in the first quarter of fiscal 2021. The primary drivers of the change in adjusted gross margin are an increase in amortization related to capitalized software and contract acquisition costs, as well as the anniversary of certain COVID-related cost initiatives and continued investments in our service organization to ensure a great experience for our customers. The increase in amortization is primarily driven by purchase accounting related to the Apax transaction in November of 2018. Adjusted gross margin, excluding depreciation and amortization, was 75.1% for the quarter, an increase of 40 basis points over the prior quarter. Sales and marketing expense was $32.1 million or 35% of revenue, compared to 30% of revenue in the year-ago period. As Raul discussed, investing in our sales teams and expanding capacity across all markets and Tier 1 locations specifically is a core focus for us. We are seeing great results and attractive returns on the investments we've made, and we intend to continue investing aggressively in our sales capacity build-out. This is a very large market at the early stages of moving to the cloud, and we strongly believe in these investments will enable us to capture more share quickly and drive meaningful value for shareholders. We have aggressive seller expansion plans and are on track to achieve our full year sales headcount target growth of 20%, 25%. R&D expense was $8.7 million or 9% of revenue compared to 10% of revenue in the year-ago period. And R&D expense, excluding capitalization of $7.2 million, so on a gross basis, was $15.9 million or 17% of revenue, in line with the year-ago period. We will continue to make meaningful investments in R&D and expand our product portfolio and opportunity. G&A expense was $16.3 million or 18% of revenue compared to 14% of revenue in the first quarter of 2021. The increase in G&A expense was largely attributable to the incremental costs of becoming a public company and the anniversary of certain COVID-related cost initiatives. We expect to begin driving leverage on the G&A line in the coming quarters now that most of our public company costs are in our run rate. Operating income was $3.4 million, or a 3.7% profit margin, compared to 16% in the year-ago period. The change in profitability reflects the drivers I mentioned. We have been a consistently profitable business and expect to generate steady margin expansion over time. This is a highly scalable business model, and we are confident we can deliver strong top-line growth and attractive levels of profitability over time. With regards to the balance sheet, we ended the quarter with $126 million in cash and no debt. We ended the quarter with $1.6 billion in funds held for clients with average daily client funds of $760 million. Interest income generated on these funds was $316,000 or approximately 17 basis points. Now turning to guidance. Starting with the second quarter, we expect total revenue of $99 million to $100 million or 16% growth at the midpoint of the range. And adjusted operating income of $5 million to $6 million. For the full year, we are raising our revenue guidance to $402 million to $406 million or about 15% year-over-year growth at the midpoint of the range, and we expect adjusted operating income of $32 million to $34 million. A couple of things to keep in mind regarding our outlook. We remain optimistic about the growth opportunities and underlying trends in our business. As a reminder, we expect the growth in bookings in fiscal '21 will take 12-plus months to fully ramp in revenue. And while we've experienced a modest tailwind from improved employment trends in our underlying portfolio, we continue to remain cautious in our guidance, including minimal benefit from the labor market growth. This is driven in part by continued uncertainty related to COVID. Our guidance still assumes interest rates remain low and will continue to be a headwind to interest income through FY '22. It's also important to keep in mind that our comps get harder throughout the fiscal year, and this will be particularly true in the fourth quarter. So to wrap, we are off to a strong start in fiscal '22. The strength of our cloud-based HCM platform is resonating with customers, and we are executing at a high level. We believe we are well-positioned to deliver on our target of sustainable revenue growth of 20%-plus and improve profitability over the long term. With that, we'll open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator instructions] Our first question is from Bhavin Shah with Deutsche Bank. Please go ahead.
Bhavin Shah: Hey, thanks for taking my question, and congrats on the great start to the year. Just quickly first on the broker channel. You continue to have success here. Anything in particular driving growth here? And how should we just think about the pipeline of adding more brokers, whether regionally or nationally, to your arsenal?
Raul Villar: Yeah. Thanks for the question. You know, the broker channel is really a combination of our value prop, where we continue to work with the broker community and enable them to select the benefit admin solution of choice and we provide them with preferential implementation, and it's a winning formula. You know, our five national partners, you know, have helped drive our growth, but the majority of our growth, the lion's share of our growth is coming from the non-national partners. And so it's really about field execution and the value proposition driving it. We continue to grow our broker relationships across the entire ecosystem, but we're winning more transactions with the broker, and that's driving our overall growth.
Bhavin Shah: Got it. That's helpful. And just a follow-up, maybe just on the On-Demand Pay offering. Can you just elaborate on this a little bit more? Are you working with any partners? Or is this a native solution? And then just how should we think about the market?
Adam Ante: Yeah. So as we think about the On-Demand Pay solution, we are using a partner for all the card processing in the background. And so -- and we'll continue to evaluate that over time. But that, we feel, is the best strategy for us right now. In terms of the economics, you know, it's included in our overall core offering and our go-to-market bundle. And there are no costs as long as -- no cost to the employee or the customer as long as they're using the native solutions and the cards that we offer them.
Bhavin Shah: Great, thanks. Thanks, again, and congrats.
Raul Villar: Yeah. Thank you.
Operator: Our next question is from Mark Murphy with JPMorgan. Please go ahead.
Mark Murphy: Yeah, thank you very much, and I'll add my congrats. My first question is I was curious if this immunization tracker, you think, could create any kind of tangible uplift to the results in the coming quarters. Intuitively, you would think that that would be a pretty popular option for many of your customers. But I'm not sure if perhaps you've bundled that in for free or it's something that is priced separately.
Raul Villar: Yeah. So from an immunization tracker perspective, it's bundled into our offering. Where I think you'll see it provide an advantage is I think, you know, if you're on a regional service bureau or an in-house solution, bringing an immunization tracker in the market is complicated and expensive. And so that tends to be a gap in those two key segments. So I think we'll benefit in those two areas specifically.
Mark Murphy: OK. Raul, I had another one, which is when you just look at the strangeness of the labor force issues in the U.S. today and the participation rates, do you think that that is some kind of a new reality? In which case, it probably would drive demand for your recruiting module, which is differentiated? Or do you think it as kind of a temporary log jam, and I think in that scenario, you would benefit as they rejoin the labor force perhaps next year?
Raul Villar: Yeah. I think, from our perspective, it's temporary. Now how long that lapse is unknown. I think the ability to work from anywhere has created massive transitions in the workforce, which has helped accelerate our recruiting solutions and our talent solutions, and we're seeing them overperform in general. But without question, we think that it will come back into play, you know, at some time next calendar year, that the labor market will probably be sort of what we're used to previously.
Mark Murphy: Yeah. OK. Raul, one last one, just on the comment on the bookings trend. You referred to strong bookings in Q1. And, you know, we understand you're not providing any numbers. I think -- I don't think any of your peers are. But is there any additional color? You know, was it driven more by volume or maybe were there any discrete large wins? And just directionally, are you able to say if the bookings were higher or lower sequentially compared to the June quarter?
Raul Villar: Yeah. I mean, the way I would put it in perspective, it was our best first quarter in the history of the company and one of our strongest quarters ever. So we had a really strong quarter across the board. We had broad demand in all market segments for our solutions. And it's really driven by we continue to outperform in Tier 1 markets. We continue to get great contributions from the brokers, and our industry play continues to help accelerate our win rates. So the combination of those things -- we exceeded our internal plans, and we have fairly aggressive internal plans to achieve our long-term goals. So we're off to a great start, and we're in a great place from a headcount perspective in the seller position, which really positions us for a strong year in bookings.
Mark Murphy: Excellent. Thank you very much.
Raul Villar: Thank you.
Operator: Our next question is from Terry Tillman with Truist Securities. Please go ahead.
Terry Tillman: Hey, good afternoon, gentlemen. Hey, Raul and Adam, congrats as well for me. I have, I think, two and a half questions. The first question or first half -- one and a half questions. I can't count. On bookings, a couple of questions have been asked. You did talk about expansion bookings. I think we're solid or strong. Could you maybe kind of double-click on that in terms of expansion sales? I know new logos are very important, but how is that muscle tissue in terms of expansion sales? And then the second part of that first question is of the three kind of key vertical focus areas, what are the three that seem to be kind of rising above the others at this point? And then I have a follow-up.
Raul Villar: Yeah. Thanks, Terry. I think from an expansion perspective, we're seeing really strong cross-sell in our base. As I mentioned, in our previous call, we have -- we're really reinforcing that muscle within Paycor. And we had really strong cross-sell, particularly on the talent side. I think that's a real standout for us, cross-selling talent into the base. What was the second question, Terry, I'm sorry?
Terry Tillman: The verticals, the three verticals.
Raul Villar: Sorry. On the verticals, I would say this year, healthcare is outperforming overall, and that's really a bounce back post-COVID as we've become more normalized, and the entire healthcare system is open for business. We've seen strong performance in healthcare of the three, particularly.
Terry Tillman: That's good to hear about the bounce back there. And I guess the follow-up question, my second of two questions is related to -- you know, I don't know if Chuck's around, but hopefully, Chuck's doing well and the idea of enabling him or giving him 20% to 25% more sellers. What I'm curious about is what are the early trends in terms of these sellers in the Tier 1 market in terms of their time to ramp? Because what I'm getting at is, could they actually affect the model materially in bookings by the end of the year? Thank you.
Raul Villar: Yeah, Terry. So in the Tier 1 markets, the exciting thing for us is some of the KPIs that we look at, our average number of employees per deal, average deal size, and average PEPM, and they're all above the line average. And in many times, the highest of all the tiers. So I think from our perspective, Tier 1 market expansions is operating as planned and we're really excited. And we're well above our path to 20% to 25% headcount growth for the full year. So we're on a really good track to exceed those targets for the year.
Adam Ante: And Terry, one thing I would add there is even if those sellers do outperform their sort of ramp and are accelerating their ramp, which we feel like -- which we're seeing that performance already, it's still going to be marginal in terms of its overall addition to the '22 number. So coming in over our headcount, adding sellers more quickly, ramping them faster, it still has a marginal impact on the in-year bookings performance.
Terry Tillman: Understood. Thank you.
Raul Villar: Thank you.
Operator: Our next question is from Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great. Thanks so much and congratulations on the results. It sounds like the clients in the micro segment under 10 was flat and a lot of the growth was in the larger clients. Any thoughts around that? And I guess, just following up on the broker channel, can you give us what percentage of bookings in the quarter were sourced with the brokers as opposed to internal?
Raul Villar: Yeah. So I'll take the brokers, and then Adam will take the mix shift. From a broker perspective, over 40% of our bookings in the quarter came from brokers.
Adam Ante: Yeah, hey, Kevin, as we think about the customer mix, it's really operating exactly as we designed. We're really focusing all of our investments and resources in our target segment, 10 to 1,000, and we're seeing outsized performance even in the 100-plus segment, which is growing in the double digits. And so it's exactly as we would expect. I mean we see dramatic increases in LTV to CAC as you go above 10, and the average deal size of those clients is more than 10 times what we see in that micro segment, in the under 10 segments. So yes, we're seeing the flat growth there in the micro segment, but again, operating exactly as we would expect as we continue to focus on that target segment.
Kevin McVeigh: That's helpful. And then just real quick. I mean, that on-demand sounds like it can be a real differentiator. Any sense of what the adoption rate, whether in the quarter already? Or is that something we'd expect in the next quarter? And any way to think about what you think the adoption rate will be on that?
Raul Villar: Yeah. I'd say it's going to be a little early right now to talk about the adoption rate. But I would say that it's slightly better than what we would have expected right out of the gate. We're seeing pretty good uptake. And the partnership that we have with our partner on the product has been strong so far. So we're excited about it. again, it's a little early, but something that we'll definitely want to be keeping our eye on and we expect to talk a little bit more about in the future.
Operator: Our next question is from Samad Samana with Jefferies. Please go ahead.
Samad Samana: Hi, good evening. Thanks for taking my questions. Good to see the solid results. Maybe first, if I could just dig into -- I know we talked about bookings and some of the Tier 1 expansion, but when I think about the source of new bookings, has there been any change that you're seeing? And who's contributing to your new bookings or maybe the win rates that you're seeing, especially with the context of what some of your incumbent competitors have set around their own retention rates.
Raul Villar: So, we -- our mix of business remains the same. 80% of our wins are still coming from legacy providers that we define as regional service bureaus in-house ADP and Paychex. Again, we have traditionally and still overweight to regional service bureaus and in-house versus ADP and Paychex, like some of our peers just based on our market coverage, and, you know, that will continue to change as we move forward. Our win rates continue to accelerate. So we feel really good from that perspective. So I would say that our win rates are accelerating against all of our key competitors, and we feel really strong about the value proposition in the marketplace.
Samad Samana: Great. And then when I think about, you know, one of the things that really differentiates Paycor, I think it's the vertical focus in a couple of key verticals, even though you're available broadly. I'm just curious if you're seeing anything in particular on the vertical side that's notable in terms of strength and some additional traction there? And maybe just how should we think about maybe additional verticals now that you've seen strong success in the ones that you already have?
Raul Villar: Yeah. So I think, you know, we'll be launching our fourth vertical professional services this quarter coming up. So that's exciting news. We're excited about that. It's a strong outsourcer to begin with, and we'll continue to develop solutions for that vertical. I think, in general, it just gives our sellers a lot of confidence in the marketplace because we coach them on the nomenclature, and the value proposition, and we have not only workflow-oriented for those three verticals, but also key partner integrations. And then the confidence that they're being implemented by someone that only implements that industry. And so that combination has proven to be a really good wing formula for us. And so we're going to continue to press in on it with our fourth industry being launched this quarter.
Samad Samana: Great. If I can maybe just squeeze in one more. Out of curiosity, I know we've talked about Tier 1 and the coverage that you have there from a sales headcount perspective. When I think about your broker channel relationships, is that -- does that sit at -- is it kind of consistent in terms of where your sales coverage is in those Tier 1 markets? Or is there -- are there big differences between broker channel coverage in your markets right now versus where your sales coverage is?
Raul Villar: No. It kind of mirrors our sales coverage. So as we expand sales coverage, the great news is that's why we're seeing continued growth in the broker channel because there are more brokers in Tier 1 markets than there are in Tier 2 and Tier 3. So -- and our national partnerships are also centralized in those key areas. So it reinforces our strategy. Samad Samana -- Jefferies -- Analyst Great. Very helpful, and good to see the strong results. Thanks, again, for taking my call.
Samad Samana: Yes, thank you.
Operator: Our next question is from Patrick Walravens with JMP. Please go ahead.
Patrick Walravens: Great. Thanks very much. Let me add my congratulations. So Raul, one of the questions that I get a lot is investors saying, "Hey, Pat, isn't this whole SMB payroll space getting crowded?" So now we have Paycor, and before that, we had Paylocity and Paycom. And I know you feel like the space is $26 billion, I think, is what you had on the deck. But if you could just sort of remind us of you're thinking of how big this TAM is and why there's room even with three good vendors in that target market. I think that would be really helpful.
Raul Villar: Yeah. I mean it is an enormous marketplace. And we look at the TAM at $26 billion. And the way we think about it is if you think about the three cloud providers combined, we'll have somewhere between -- depending on how you look at the market somewhere between 8% and 12% penetration. So 88% of the market is available. And yes, ADP and Paychex are obviously, donators to the cloud, and will continue to be donators to the cloud for the foreseeable future, just based on the relative size of those two organizations to the other three organizations. But I think what people also fail to realize is that the in-house and regional service retail markets are really large and provide lots of opportunity for us as well. And we've seen outsized wins from that perspective in those areas.
Patrick Walravens: Great, thank you.
Operator: Our next question is from Scott Berg with Needham. Please go ahead.
Michael Rackers: Hey, everyone. This is Michael Rackers. I'm on for Scott Berg. Congrats on the quarter. Just had one quick one, basically, around some of the additional modules outside of the core HCM bundle. You mentioned gaining some traction, especially with talent management. Have you seen that mainly within existing customers or within new logos as you move into Tier 1 markets?
Raul Villar: Yeah, it's primarily new logos. While we've seen strong cross-sell, the majority of our results are in new logos since the majority of our bookings are in new logos. So we're seeing really strong adoption of talent into the portfolio. And I think that's something we're really excited about. It's exceeding our expectations. We continue to see strong adoption of workforce management as well. But ultimately, the talent and recruiting are top of mind for the market, and we have a really compelling value proposition for people as they're really focused on retaining their employees. And so some of our unique competitive tools are focused on enabling managers to coach our associates' set goals, really help people keep on track and engage their associates which will drive associate retention at this point in time, which is more critical than probably in my lifetime in the U.S. workforce.
Michael Rackers: Great. Thank you.
Operator: Our next question is from Brad Reback with Stifel. Please go ahead.
Brad Reback: Great. Thanks very much. Raul, competitively, I think we almost always focus on sort of either the legacy service bureaus or the other cloud vendors. But are you seeing any change in the market with PEO vendors, especially sort of in the sub-100 segment?
Raul Villar: Yeah, not really. We don't -- we just don't come across from that often. They don't show up in the win-loss at any kind of outsized rate. And we win, call it, 4%, I think, of our wins come from PEO. So it's a small trade between us and PEO. And we just don't see it as a big value prop because of the cost. And again, we're not spending a lot of time in the sub-50 space, so -- which is where that value prop tends to resonate a little more for a small business owner who's looking for someone to provide all those services for them. And so as you get above 50, it becomes less compelling, and we just don't see them that often.
Brad Reback: That's great. And then just unrelated, but with the U.S. economy now having added back basically all the jobs that were lost during the pandemic as of last week, should we now think of employment gains within your installed base as sort of that modest tailwind that it was pre-COVID, so a small driver to incremental revenue growth as opposed to something that's maybe been a bit larger over the last few quarters?
Adam Ante: Yeah. I mean I think that's definitely right. We see sort of low single-digit growth is what we've seen prior to COVID. And I think as you think overall labor market growth over time, I think that makes sense. So that's how we're thinking about going forward. And of course, as we think about guidance, we haven't really expected much out of that line. So, yeah, low single-digit growth would be sort of what we would expect otherwise.
Brad Reback: That's great. Thanks a lot, guys.
Raul Villar: Thank you.
Operator: Our next question is from Bryan Bergin with Cowen. Please go ahead.
Bryan Bergin: Hi, guys. Good afternoon. Thank you. Regarding the comments on the continued services investments, are you at a full run rate for the incremental expenses you've had to put into the services work? And how -- in general, how should we think of this margin for the balance of the year?
Adam Ante: Yeah. I mean we've made some pretty intentional investments in the service organization as we head into -- sort of two things on our mind, head into the end of the year, which is a peak season for our clients, and we want to make sure that we're creating the right service dynamic. And then getting in front of a lot of the future headcount or the future customers that are coming in that we've booked and/or in the backlog. So we're getting in front of both of those dynamics. And at this point, we don't expect any outsized investments in service in the future. We think that we've appropriately staffed heading into the peak season. So we feel really good about those investments.
Bryan Bergin: And gross margin, do you expect to build off of these levels?
Adam Ante: Yeah. I think you're going to see us continue to build off of these levels, for sure. And I think we noted in Q4, coming off of Q4, that adjusted operating income margin was sort of at the trough. We were at the low -- low end of where we expect to be. So yeah, I think that you should expect us to continue to drive margin over time. Of course, there's some seasonal dynamics with year-end revenue. So it's not always exactly straightforward like that, but we feel good about the leverage that we're going to expect out of those investments, for sure.
Bryan Bergin: Thanks. And then just how much did the client employment tailwind contribute here in the quarter?
Adam Ante: It was marginal in this quarter. So we saw again like in that sort of low single digits. And if you remember in Q4, we drove sort of 4 to 5 points of growth off of an easy comp over Q4 of last year. And we really didn't see that significant of an increase. So more in that low single-digit range from the overall labor market this quarter.
Bryan Bergin: Thank you.
Operator: Our next question is from Brian Peterson with Raymond James. Please go ahead.
Chase Donovan: Hey. Thanks. This is Chase Donovan on for Brian. Nice to see the increase in PEPM this quarter. But just curious how you guys are thinking about M&A and the ability to do tuck-ins, bring functionality and help grow PEPM over time? Thanks.
Raul Villar: Yeah. So we're, you know, extremely diligent and opportunistic with M&A. We've had a history of successful acquisitions to expand our platform and provide a unified platform for our clients. And so we're going to continue to do that. I think we'll be thoughtful about that. And we're evaluating lots of different opportunities. And we have a history of one or two transactions per year, and I think that will probably be something that we'll target on a go-forward basis. But again, in our -- the opportunities we look at are primarily product IP-related, and we're really focused on unifying that technology into our platform and selling it as part of our unified suite. So we're not looking for any significant installed bases that we're going to, you know, retain on a long go-forward basis.
Chase Donovan: Perfect. Thanks.
Operator: Our next question is from Mark Marcon with Baird. Please go ahead.
Mark Marcon: Good afternoon and thanks for taking my questions. In terms of the West Coast and the Northeast, you mentioned your -- the pace of selling and -- or sales hires in Tier 1 markets increased. I was wondering if you could just be a little more granular in terms of what you're -- what you've added both in those two key territories.
Adam Ante: Yeah. Hey, Mark, we weren't expecting to necessarily talk through the dynamics at each of the markets. Of course, there's lots of dynamics in terms of hiring and when leaders are moving around. And so it's just not quite as helpful. I would say that over the first three months and through this, through October, I mean we've had a lot of success in hiring across all of our Tier 1 markets. And, you know, we're well on our way to achieving that 20% to 25% headcount growth for the year. So we're going to be opportunistic when it makes sense to bring sellers into markets where we've hired new leaders, where we have strong leaders, where we have opportunities for continuing to round out teams. And the bulk is still going to go into those Tier 1 markets.
Mark Marcon: Great. And then can you talk a little bit about some of the investments that you've made in the service? What's the feedback been like? What are you seeing in terms of response times? Any sort of NPS feedback? Just sense of client retention and how that would trend going into the key fall selling season?
Adam Ante: Yeah. We've made a handful of really strong technology investments to enable our customers to be able to interact with us more effectively, to be able to engage with our reps more effectively, and for our own service reps to be more effective as well. And we noted on prior calls some noise that we had last year and feeling like we were understaffed. And so making those investments, in partnership with the technology, has seemed to come through really well. We've been able to improve our handle times and our wait times to levels that we think are better than they've ever been. And we've gotten really good feedback. So yes, we've seen some really good returns. And it's still early for a handful of these investments as well.
Mark Marcon: Great. And then can you just talk a little bit about the expectations with regards to pays per control? I just want to make sure I understood it correctly. It sounds like in the prior quarter, it was up 4% to 5%. This quarter, it was low single digits. Is the -- you mentioned COVID at the beginning when you were talking a little bit about the expectations. So I was just wondering are you saying low single digits in terms of increases, in terms of pays per control for the balance of the year? Or something more modest in terms of what's being baked into the formal guidance?
Adam Ante: Yeah. I mean as we think about our guidance, I think we've been really conservative in terms of including any sort of growth from the labor market. What I would say is that prior to COVID, we were sitting in that sort of 72 employees per company. And we're back above that now. But again, as we think, Mark, about the future guidance, I mean, we really haven't baked in any continued growth from the labor market.
Mark Marcon: Great. And one last one. Just how would you describe pricing in the market now?
Adam Ante: I would say that maybe it feels a little different for us because we're seeing some really strong success with our new modules, especially again, that talent solution. So across our base, we're seeing higher take rates of our products. We're seeing some really strong success with continued attach. And I would say that we've seen, from some of our competitors, maybe a little bit more pricing pressure. Nothing that's necessarily changed anything for us as we think about that overall new business coming in and the rates that it's coming in at. We feel really good about that.
Mark Marcon: Yeah. And your talent module really did get a lot of really good reviews coming out of HR Tech. I was wondering, what are the attach rates? And to what extent can you even further market that particular module?
Adam Ante: Yeah. I mean, we weren't giving specific attach rates, but I'd say workforce management continues to be our highest attach rate, and that's still in the sort of 50% range, similar to the dynamics that we've shared over the last handful of quarters. And there's plenty of room left for talent. So talent has grown dramatically, and I'd say really quickly relative to other products that we've historically released in terms of how quickly it's sort of penetrated and attached, but still not even yet to the workforce management rates. So we think that there's plenty of room for that.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Raul Villar for any closing remarks.
Raul Villar: Again, we want to thank you for your time today. We're excited about our Q1 performance. And we're even more excited about Paycor's future. We look forward to working with all of you over the next few quarters. Thanks so much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.